Operator: Hello, thank you for standing for JD.Com's Fourth Quarter and Full Year 2014 Earnings Conference Call. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Ruiyu Li.
Ruiyu Li: Thank you, operator, and welcome to our fourth quarter 2014 earnings conference call. Joining today on the call are Richard Liu, Founder, Chairman and CEO; and Sidney Huang, our CFO. For today's agenda, management will discuss highlights for the fourth quarter and full-year 2014. Following the prepared remarks, Haoyu Shen, CEO of JD Mall, will join Mr. Liu and Mr. Huang for the question-and-answer portion of the call. Before we continue, I refer you to our Safe Harbor statement in our earnings press release, which applies to this call, as well, we will make forward-looking statements. Also, this call includes discussion of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that, unless otherwise stated, all the figures mentioned during this conference call are all in RMB. Now, I would like to turn the call over to our Founder, Chairman and CEO Richard Liu.
Richard Liu: Thank you, Ruiyu, and [Technical Difficulty] our focus on authenticity and user experience is breaking through with Chinese consumers. We had 96.6 million active users on our platform for the full-year of 2014, which represent a year-on-year growth rate of 104%. And at the same time, we are building much stronger relationship with our suppliers and merchants by implementing under sufficient creditor supply chain management processing and constantly enhancing the services we offer to sellers on our marketplace platform. We grew to over 60,000 sellers on our marketplace as of December 31, 2014. This is the pace of growth that is fast but manageable enable us to maintain our high standards. We [indiscernible] that all sellers to ensure that they meet our stringent standards for quality. Our strong results in the fourth quarter points to some of this exciting drivers of growth for the quarters ahead. I would like to share some of this. First, we continue to increase mobile orders rapidly. In Q4, 36% of our orders came from mobile, up 372% from the same period of 2013. Weixin and Mobile QQ are making meaningful contributions to mobile orders. Clearly our Tencent partnership is beginning to bear fruit. Second, our fulfillment network expansion efforts are delivering real results. As of the end of 2014, our delivery network covered 1,862 counties and districts across China, 40% more than a year ago. For JD Mall, the number of orders from lower tier cities in the first quarter grew 126% from Q4 last year. We believe that this is a promising and high growth area, and we will continue to strengthen our user experience in lower tier cities through our mobile platforms, enhanced product offerings and improved fulfillment capabilities. Third and most importantly, JD is increasingly distinguished as the most trusted platform in China for guaranteed quality and authenticity. And we are expanding our leadership here. In the fourth quarter, we continued to establish important partnerships with key international brands, which opened flagship stores on our site, as well as companies like Bitauto [indiscernible] to our site. We also looked close with the relationship regularity at all the retails in China to further enhance our anti-counterfeiting properties and share our expertise and knowledge. These partnerships strengthen our reputation for authentic products. The key to our success over the last year is simple. China’s online shoppers trust the JD experience. They know while they shop on our site, they get quality, they get authenticity, they get secure service and they get all of this delivered right to their door at amazing speeds. As we move into 2015, we are positioned than ever to deliver our vision of a world-class online shopping experience to Chinese consumers. I am excited for the year ahead. And I am confident that we will continue to expand our leadership in the industry. With that, I will turn the call over to our CFO, Sidney Huang, who can provide more details on our financial performance for the quarter and the year. Thank you.
Sidney Huang: Thank you, Richard, and hello, everyone. I’ll spend the next 10 minutes also to walk through our Q4 financial results and Q1 outlook. We're very pleased with our fourth quarter growth and margin trend. Our GMV year-on-year growth further accelerated to 119%, compared to 111% achieved in the third quarter. Excluding the GMV contribution from Paipai and Wanggou marketplaces that were acquired from Tencent, our JD Mall GMV grew 105% year-over-year, compared to 97% achieved in the third quarter. Our net revenue growth also accelerated to 73% year-on-year in Q4 versus 61% in Q3. This acceleration benefits from highly successful November promotion campaign, which attracted millions of new customers to try out the JD shopping experience. It is also a direct result of our continued focus on customer experience with our zero-tolerance policy on counterfeits, constantly expanding product selection and fast delivery service. Finally, GMV from Weixin and Mobile QQ entry points more than doubled the Q3 level, and became two important user acquisition channels for the JD platforms. Roughly 20% of our first-time customers in Q4 were from these two mobile channels with similar recurring purchase behaviors as our other JD platforms. The GMV composition continued its trend towards category diversification. GMV from general merchandize categories grew 173%, and for the first time, accounted for more than half of total GMV during the quarter. Apparel and shoes continued to be the most popular category on JD platform in terms of orders fulfilled, and saw a sequential order increase of 70% during the quarter. In terms of GMV, the fastest growing category was again apparel and shoes, with year-on-year growth rate of 278%. Other fast growing categories included home furnishing, watches and handbags, cosmetics and auto-related products. GMV from our marketplace business grew 220% in Q4 and accounted for 44% of our GMV during the period. Excluding Paipai and Wanggou contribution, GMV from our JD Mall marketplace grew 171% from a year ago, due to category expansion discussed earlier. Our direct sales revenues grew 67% year-over-year, led by baby products, cosmetics, food and beverage, as well as mobile devices and home appliance categories. Services and other revenues grew 199% year-over-year, driven by commission income from the higher marketplace GMV, increased advertising income and the logistics service revenue. Our non-GAAP gross margin further expanded from the Q3 level. The improvement was entirely driven by the increased service revenues, partially offset by a sequential decline in our 1P business gross margin as a result of our November promotion. On a year-over-year basis, gross margins from our 1P product sales remained consistent with that of Q4 last year. Now, let's go through the operating expenses. For ease of comparison, I will focus on the non-GAAP expense ratios of these operating lines. First, the non-GAAP fulfillment expense ratio rose slightly to 7.3%, compared to 7.2% in Q3. The increase was entirely due to our growing logistics service business, which has an expense ratio close to 100%. Fulfillment expense ratio for our principal business actually declined due to better operating efficiency during this extremely busy quarter. The non-GAAP marketing expense ratio increased to 3.3% in Q4, compared to 1.9% in Q3 and 2.6% in the same quarter last year. The sequential increase was mainly driven by the seasonality, while the year-on-year increase was partly - was due to our elevated marketing efforts during the November shopping festival, and it reflects our strategy to invest opportunistically to drive growth and market share. Lastly, both non-GAAP R&D and G&A expense ratios remained fairly stable as compared to the previous quarter. Therefore adding together, the sequentially higher non-GAAP operating expense ratio was almost entirely driven by the higher promotional spending during the quarter. As we mentioned before, marketing is the most discretionary expense item and it can be adjusted relatively easily based on the expected ROI of such spending. As a result, our non-GAAP net income was RMB84 million with a non-GAAP net margin of 0.2% in the fourth quarter. For the full-year 2014, our non-GAAP net income was RMB363 million, with a non-GAAP net margin of 0.3%, which is consistent with 2013 margin level and slightly ahead of our breakeven to negative 1% guided range. By now, we have actually had two years in a row with positive non-GAAP net income above our guided range. This is not by design but a natural outcome from the better-than-expected top line growth and increasing scale of economies. It also validates our belief that profits should not be our focus in the hyper-growth market, where superior customer experience will drive scale and scale will drive profitability. Looking back with the GMV base of RMB125 billion and revenue base of RMB69 billion at the end of 2013, we more than doubled our GMV size in 2014, to reach RMB260 billion, and we grew our revenue by 66% to RMB115 billion. The numbers speak for themselves. We believe our new investment made sense, and we intend to continue these investment strategies in 2015. Now let's look at our cash flow and working capital. As guided on our last earnings call, our fourth quarter free cash flow was negative, mainly driven by certain shorter payment terms and a prepayment schemes, designed to secure sought after merchandize, such as iPhone 6, as well as higher capital expenditures during the quarter. On a full-year basis, both of our operating cash flow and free cash flow were positive and healthy. The inventory turnover and accounts payable turnover days were both consistent with the same period last year. We intend to maintain positive operating cash flow for 2015 and beyond. Lastly, let's discuss our financial outlook. We expect our Q1 net revenue to be between RMB34.8 billion and RMB35.8 billion, representing a year-on-year growth between 54% and 58%. This guidance reflects a slower-than-usual first half of January, due to the late Chinese New Year holiday season, as compared to the previous year. For 2015, non-GAAP bottom line, as I discussed earlier, we remain bullish on e-commerce growth potential and we will continue to invest in high ROI business initiatives to capture the market share. However, given our larger scale and operating discipline, we would like to improve our non-GAAP net margin outlook by narrowing the range to between breakeven to negative 0.5% for the full-year 2015. Now we can move to the Q&A session.
Operator: We’re ready the question-and-answer section of today’s call. [Operator Instructions] Your first question comes from the line of Eddie Leung from Merrill Lynch. Please go ahead.
Eddie Leung: Hi, good evening. Thank you for taking my questions. I have two questions. The first one is about your repeat customers purchase pattern. You mentioned that you have got quite some new customers. But when this full gets on your own customers, could you share a bit more color on the - for example, the frequency of the purchases of your older customers as well as the ARPU trend of your older customers? So that’s my first question. And then secondly, about your logistics capabilities helping your 3P merchants. Could you share with us the percentage of your 3P merchants which use JD logistics services? Thank you.
Sidney Huang: Okay. So on the first question, recall that at IPO, we disclosed 2008 customer cohort and we track them for the next five years. So in year one, it was 3.7x a year purchase. And by 2013, it was close to 17x. And we actually calculated for 2014, it became 19x. So the purchase frequency continued to improve on a year-over-year basis. And certainly for other year of customer cohorts, this trend is also pretty consistent. Internally, we also measure the purchase rate of customers during a year and it was also improved during 2014. And Haoyu, you can get second question.
Haoyu Shen: Yes, just a few more comments on the first question. So we - as Sidney mentioned, at IPO, we did talk about from numbers in different cohorts. I was just looking at some numbers today. We looked at the 2008 cohorts and 2011 cohorts. So we do see over time, for example for the 2008 cohorts over the past, say six years, they do increase the frequency of purchase from us, and also of course the purchase amount every year. And that same applies to the 2011 cohort. And another thing we found is for the order of more tenured customers, they tend to buy more categories of merchandize from us. So typically their basket size, order size actually is smaller, and the new customers we tend to acquire than through traditional 3P products. Although from last year, we’re seeing apparel has increasingly become sort of the first order category for new customers. On the second question, logistic services for third-party merchants. We mentioned before that the main service we’re offering to the merchants right now is delivery, not so much warehouse, but delivery. And the percentage of third-party parcels that are delivered by JD logistics has been steady increasing, but slowly. And now just roughly we deliver about one-third of the third-party parcels. So the growth rate has been stable. So more importantly, we want to offer warehouse services to our merchants. And we’re just getting the system ready and in the next month or two, we’re going to market that service to our merchants more broadly and we do expect some pickup. Although it will probably take longer for the merchant to adopt a warehouse service than the delivery service, because it’s - for the merchant the switch cost will be much higher if they adopt our warehouse services. So we do offer them better end-to-end service to their customers if they adopt the warehouse and the delivery services.
Eddie Leung: Understood. Thank you, Haoyu, and Sidney. Thank you.
Operator: Your next question comes from the line of Erica Poon from UBS. Please go ahead.
Erica Poon: Thank you management. Thank you for your presentation. I’ve also got two questions. The first one is just wondering whether you can give us a little bit more color on your Tencent relationship, for example, what is the conversion rate, basket size, repeat purchases of the Tencent access? And the second question is about your profitability. Sidney just now was giving us a new guidance for 2015 bottom line. Would you now have better visibility into your profitability into 2016? Thank you.
Haoyu Shen: So first question, the partnership, especially on Weixin and Mobile QQ with Tencent. As we mentioned in the prepared remarks, we’re seeing now meaningful contribution from that partnership from the level one entry point. And the recurring purchase is also good, which is at a comparable level with other channels, PC or on the app. And we’re also seeing pretty good contribution and new customer acquisition from Weixin and Mobile QQ. So it’s - and the conversion rate - I think you also asked about conversion rate. It is lower than the conversion rate on our app as you might expect, but it’s - we were seeing good improvement over time.
Sidney Huang: Yes, Erica, this is Sidney. On your second question for 2016 and beyond, I think again it comes back to how we - whether there is high ROI investment opportunities that will enable us to drive growth and market share. So if we see that opportunity as strong as today, obviously we will continue to invest, but on the other hand we do get scale benefits. So we will not - at this point, we stick to the current guidance for 2015 and we will update you in the second half of this year.
Erica Poon: Great. Thank you both.
Sidney Huang: No problem.
Operator: Your next question comes from the line of Alicia Yap from Barclays. Please go ahead.
Alicia Yap: Hi. Good evening, Richard, Sidney and Haoyu. Congratulation on the solid quarter. I also have two questions. Number one is regarding the mobile GMV. So can you elaborate a little bit more detail on what type of product categories mainly contribute to the mobile GMV? For example, also any average selling price difference on the mobile GMV compared to the ASP on the PC? And then among the 36% of mobile GMV, is it mainly - how much of it come from the 1P versus 3P? And this is still part of the first question is, based on your data tracking, is most of this mobile GMV come from the lower tiered city customer that actually might only have mobile as the only internet devices, or is it comes from the first and the second tier cities customer where during that more fragmented time spent completed on the mobile?
Haoyu Shen: That’s still your first question? It’s pretty loaded.
Alicia Yap: Yes. And second question very short.
Sidney Huang: That’s fine. I’ll answer your first question. So the 36% we mentioned in our release and prepared remarks is not GMV percentage. It’s percentage of orders placed. So we don’t disclose the percentage GMV, but you can expect the percentage of GMV should be lower because the ASP is lower for mobile. But if you look at two of our main mobile channels, one being app, the other is Weixin and Mobile QQ. The ASP order size on our app is lower than what you see on our PC and the ASP Weixin and Mobile QQ is even lower. And this is probably driven by different category mix from different channels. And I think if you compare - our app is probably more similar to our PC, our category mix, but if you look at Weixin and Mobile QQ, you tend to see more purchases in that apparel and general merchandize categories, hence they are lower ASP. And we do see more - a higher percentage of customers from lower tiered cities for Weixin and Mobile QQ channel, not so much from our app.
Alicia Yap: I see. Great. That’s very helpful. The second question is regarding the 60,000 merchants on your marketplace platform right now. So can you share roughly some of the breakdown in terms of percentage coming from, let's say apparels, cosmetic and also percentage from overseas versus domestic? Thank you.
Sidney Huang: The vast majority is domestic and the big categories are apparel, home decoration, cosmetics, food. Yes, these are the major categories.
Alicia Yap: Okay, great. Thank you.
Operator: Your next question comes from the line of Ella Ji from Oppenheimer. Please go ahead.
Ella Ji: Good evening and congratulations on strong quarter. I also have two questions. First relating to your GMV contribution from 3P. I see 3P is growing definitely faster than 1P. I wonder if management can talk about your outlook of GMV from marketplaces in the next two to three years. I mean, this definitely is a more profitable business for you, but in the meanwhile, we all know that it is also more challenging to maintain high quality of products and services. So I wonder if you can share your thoughts maintaining the percentage between first-party and third-party. And that’s my first question. Thank you.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: So 1P business focuses on standard merchandize. But as you know, the market size for non-standard products merchandize is much bigger than standard products. So over time, as you already see this quarter, the GMV from marketplace has already overtaken the GMV from first-party. So I would not be surprised that most of our GMV will be from third-party merchants. Quality control, as Richard mentioned in his prepared remarks, we’ve got all our merchants with very stringent standard, despite very fast growth, we only have right now about 60,000 merchants on our platform unlike some other platforms with managing [ph] of merchants. So we do want to maintain very high quality group of merchants on our site.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: Every platform over time has developed its culture. Because of our heritage, we are a platform that stretches authenticity and quality of services.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: We have zero-tolerance for fake products. Once we found merchants selling fake products or not providing high-standard products, merchandize or services, we will delist them and shut down the stores.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: Over time to be a successful seller on our platform, the only way to do that is to sell high-quality products and provide high-quality services to our JD customers.
Ella Ji: Thank you. And then my second question is relating to your sales and marketing spending. We saw this is a big step up in 4Q. I wonder, Sidney, if you can break down and provide some colors as far as, for example, how much is spent to acquire new customers versus maintaining or increase the shopping frequencies of existing customers? And also, for example, how much is spend to a mobile versus PC? And then relating to that, we understand that you participated in the Weixin red envelop promotion event during the Chinese New Year. Can you talk about the resulted performance as a result, and also on accounting basis, where should we expect to see all this coupon spending to reflect on your P&L?
Haoyu Shen: Okay. So at least I get the first part. So for the marketing spending in Q4, you can assume that vast majority of the incremental marketing expenses were brand advertising expenses, okay. So they are not necessarily all traffic costs. The traffic acquisition costs will be one kind of consistent with our volume growth. And then two is, as we expand our marketing service to third-party merchants, we begin to acquire outside advertising resources and resell to the merchants. So for that part though, the direct cost is not included in cost of revenue. So that is not added in the marketing expenses. But majority will be brand advertising in Q4 related to our November promotion. And then second contributor will be, we did increase some spending for - because of our expanded advertising business unit. And whether the split between mobile and PC, because it’s brand advertising, so it’s not - there is really not much to, kind of, relate it to a split between PC and mobile. And for the red envelope, how we can talk about impact, but accounting-wise, there will be in our marketing expenses in Q1.
Sidney Huang: So the red envelope spending other than for branding purposes, it’s also for new customer acquisition purposes, because by default, people who get the cash red envelope from us, they will subscribe to our public account Weixin. So I was just looking at the numbers today. We’re starting to do target at marketing to those new subscribers so to speak and we’re seeing some good results.
Operator: Your next question comes from Mark Miller from William Blair. Sorry, next question from Robert Lin from Morgan Stanley. Please go ahead.
Robert Lin: Hi management, and congratulation on the results. I guess I have three questions. I think obvious question for this year remain your gross margin expansion, I mean, both on your 1P and 3P perspective. So first question, just kind of thinking about your gross margin for 1P business. I think your general merchandize is probably about 20% of your 1P business. Can the management provide some color on, if that split is correct, and how should we think about your general merchandize margin versus your electronic and home appliance margin for this year? And then I guess the relevant question to that third-party business. I think you got some incremental this year. I think one is obviously Tencent advertising, and second is Bitauto revenue recognition in the second half of this year. Incrementally what do you think that will contribute to your net revenue line for other revenues? That’s my first question.
Sidney Huang: Right. So, on the gross margin between different categories, as I mentioned in Q4 for example, on the year-over-year basis for product sales, gross margin remained pretty consistent. So this is part of our strategy to continue to provide the customers with the best price possible. And given that general merchandize generally do carry higher margin. So you can see that our promotional - the magnitude of our promotion is still fairly strong, because on a branded basis, actually the product sales gross margin remained pretty much the same. So in terms of split, we will probably - we should disclose in our 20-F a breakdown. So you will see that number in the near future. And for the second part, currently we forbid already, so we do not factoring any income at this point, because it’s still in early stage. Obviously we have a very high expectation for a much better shopping experience for auto consumers on our site, but before we get enough clarity, we certainly not account for anything - certainly not in our current year net guidance. In Q1, obviously there is also no effect from this transaction.
Robert Lin: Okay.
Sidney Huang: Other what’s the other - other than Bitauto, what’s the other...
Robert Lin: From Tencent advertising referral.
Sidney Huang: Well, that’s just part of - because remember we also - we had a very, very robust advertising platform from our team set up last year. So we’ve seen very strong growth in our advertising business, both within our own platform and also through Jingdong [ph] the Tencent platform.
Robert Lin: Okay. I guess this question is more a broader big picture. I mean, internet finances were major initiative. Can management provide some color on what is the key focus area that we’re investing in, whether it’s smart homes, whether it’s internet finance M&A prospects like - and how that’s going to impact both on the top line and your cost structure this year?
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: We’ve had very fast growth in our finance business, although the impact on P&L is very small.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: This year’s focus on finance business are payment, consumer finance and cross funding.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: Yes, we’re going to focus on two groups of demographics. One is college students, the other is rural residence.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: We started small hardware business unit, so we’re going to explore in that area as well.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: Yes. At this point, we don’t have anything concrete to share with you yet on the hardware business.
Robert Lin: Okay. I guess my last question just on marketing spend. I think if I kind of look at your number versus BAT [ph], I think your gross profit compared to like Alibaba’s and Tencent’s revenue is about 22%, 23%. But your marketing spend could be as big as 40% to 60% of Alibaba and Tencent. Obviously that’s quite high level understandably because you’re trying to gain market share. How are we allocating this marketing spend, and like what return do we think is justifiable so that we could dial back on this marketing spend, or just a little more context on marketing spend?
Sidney Huang: Right. So Rob, as I mentioned, actually most of the marketing spend especially in the fourth quarter was related to brand advertising. So those are very discretionary expenses that are not really kind of directly driving the near-term revenue or near-term GMV. So this is - we think this high level spending using your metrics is worthwhile because of the growth. So if you take gross margin for example as proxy for other companies’ revenue, our gross margin also grew over 110% in the fourth quarter on a year-over-year basis. So with this kind of growth, the market spending is definitely worthwhile with very high ROI, but if our growth rates slow down to the BAT [ph] level, then obviously the ROI will be reduced and we will - we can certainly reevaluate the ROI and adjust the market spending.
Robert Lin: But if I can just follow-up on that. I think Xuande Huang before was talking about 20% fourth quarter customers add was coming from WeChat and Mobile QQ. And you guys naturally have this advantage because you have partnership with Tencent. And that marketing dollar is spent somewhere else. And I think mobile investment in terms of user acquisition is relatively limited. So I’m just trying to figure out what other avenue of marketing besides offline, especially in mobile can you spend on, that will surprise on the upside in the marketing spend?
Sidney Huang: Yes, maybe I can add some more color. So it’s true that we are a big offline marketer. You can see that we spend lot of offline TV outdoors and focus media type. And for the online parts, we are still spending a lot of money on PC to drive traffic performance space and on search engines, on third-party sites. And we are spending a lot of money on mobile app installation as well, although mobile advertising still new, people are still trying to figure out how to do advertising once app is installed. You are right that at this point, most of the spending on mobile is for installation of apps, but going forward, we expect we’ll spend more on mobile advertising other than for the purpose of apps installation. So I think at this point, we - our initiatives such as going to campus, going to rural areas, these all require major marketing spend, be it offline or online. So I think going forward, I can't speak for us any, but I think as long as we can afford to spend on marketing to drive growth I think we will continue to do that.
Haoyu Shen: Yes, the other element is also our marketing service to third-party merchants and suppliers. So this year, we are planning - we have been actually expanding our spending to acquire traffic through our affiliated marketing partners. So at the beginning you may not fully utilize those acquired traffic to your - for the purpose of your merchants advertising dollars. So for those not, while we acquire - basically they are not fully utilized by the merchants. So the incremental part would be also utilized by our own business, which will come as marketing expenses. So this is, you can consider as a cost of developing our own advertising business, but it certainly also has marketing benefits to our business.
Robert Lin: Great. Thank you.
Haoyu Shen: You’re welcome.
Operator: Your next question comes from the line of Cynthia Meng from Jefferies. Please go ahead.
Cynthia Meng: Hello. Thank you for giving us the chance and congratulations for a good set of results. I have two questions. Last quarter, I remember, Qiangdong, you mentioned something about the expanded demographics of your core users, of your core customers now including more females. Is there any updates in the line of that description of your core customer base? And also if there is any color on the location of your customer base, that will be great. As you build out your product categories and penetrating into to your lower tiered cities, this will be interesting. Second question is, can management give us some more color on when the construction of the mega warehouses in Guangzhou, Wuhan and Shenyang expected to be completed? And is there any change to guidance to tax expense [ph] this year versus 2014? Thank you.
Sidney Huang: Okay. I’ll take the first one. So we don’t have the latest female/male split, but just based on the category expansion I discussed earlier, for example, apparel - just apparel orders grew sequentially 70% and volume-wise actually was bigger. So you can see that female definitely is becoming a bigger and bigger contributor to the JD business. And lower tier cities, we mentioned that in terms of number of orders, it grew 126%. That’s JD more alone. So it grew much faster than the tier-one and tier-two cities. So those two demographic groups are definitely benefiting from our diversifying business strategy. The warehouse open up, I’ll let Haoyu to comment, but CapEx-wise, we did have some lagging behind CapEx spending that will from 2014 to 2015. So we will see some higher CapEx spending, but at this point, we do not have a definitely number, but management will try our best to maintain a positive free cash flow. I cannot promise you, but as I mentioned earlier for ARPU and cash flow is definitely positive, but we will plan our CapEx spending throughout the year and making sure that we can achieve healthy free cash flow.
Haoyu Shen: Yes. The few mega warehouses we are building, as you know, the one in Shanghai is already in production. The one in Guangzhou is going through government inspection as we speak. The one in Wuhan will hopefully be in production by mid this year. The one in Shenyang will be in production at the end of this year.
Cynthia Meng: Great. Thank you.
Operator: The next question comes from the line of Alan Hellawell from Deutsche Bank. Please go ahead.
Alan Hellawell: Thank you very much, and congratulations on the quarter. A simple question. What was iPhone 6 and 6 Plus contribution in GMV? And can we estimate how much it might have driven up ARPU in the quarter, and whether there might be any kind of incipient impact assuming it normalizes? Thank you.
Sidney Huang: Yes, we don’t - it is not the number rumored certainly and actually very small fraction of what was rumored. So it is a meaningful contributor but has nothing that will cause any one-time spike. And also without a star product like that, you will have demand for other products. And so we do not expect the iPhone phenomenon to be a big one-time issue.
Alan Hellawell: So would it be possibly 1% or 2% of the ARPU delta or not even?
Sidney Huang: I have to check but yes, it’s not a big significant event.
Alan Hellawell: Thank you.
Operator: Your next question comes from the line of Robert Peck from Suntrust. Please go ahead.
Robert Peck: Yes, hi. Thank you for taking my question. Just two quick questions. One, Sidney, I was wondering if you can walk us through the pace of the quarter. We obviously already have two months of the quarter in the bag. As we think about that pace going through the cadence of the rest of the year, 2Q, 3Q and 4Q growth, can you just give us a feel for how you envision that shaping up? And then I just have a follow-up question.
Sidney Huang: Well just for pace on Q1, as I mentioned, generally we had first half of January slower than expected because the holiday shopping season normally starts one month before the New Year’s holiday. So this year because of the later-than-usual Chinese New Year holiday, so first half of January was pretty quiet. So that basically led to a relatively weaker January. But from here - otherwise Q1 should be a pretty robust quarter, given that there is very limited Tencent contribution in Q1 last year. There was only 20 days, but starting Q2 you will be - there will be less, kind of, incremental contribution from the Tencent transaction. So at least from a GMV perspective, growth rate will not be as high as in the previous quarters.
Robert Peck: And then a quick follow-up question. Obviously the Tencent partnership has starting off tremendously well so far. As you think about the competitive landscape and maybe some of the lesser players with market share in the market like an Amazon, does it make sense to pursue any sort of business development deals to work together, potentially opening up even more international customers for JD? Thanks.
Sidney Huang: Well, we are always very open-minded for any partnership, whether it’s strategic or from business perspective, but until something materialized, there is not much can be discussed.
Robert Peck: Thank you.
Sidney Huang: You’re welcome.
Operator: Your next question comes from Mark Miller from William Blair. Please go ahead.
Mark Miller: Yes, hi. Good evening. Where do you see the best opportunities right now to broaden the product offering and given the very strong growth in apparel and shoes, what is the management’s view of the outlook for flash sale offering?
Sidney Huang: Right. So flash sales is for the most part apparel and shoes, some home decoration and we will just start at the business last year and we’re going to see the goal for this year for that business unit is quite ambitious. And after Chinese New Year, we’re seeing good start. So yes, that’s looking good.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: Right. So Richard just said, we really started the business in all seriousness in last year in 2014. So we’re not going to give you year-over-year growth because that will be very, very high.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: Yes, but if you look at the sequential growth from Q3 to Q4, it’s over 100%.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: And the growth rate for this year will be much higher than JD’s growth rate overall.
Richard Liu: [Foreign Language - Chinese]
Sidney Huang: It’s still small part of our overall business, but we think in two or three years, it will become a more meaningful component of our business.
Mark Miller: Excellent. Thank you. And I have a question on the ultimate investment in fulfillment. Is there in the next couple of years a leverage point that you’d expect on fulfillment, or do we anticipate that it’s going to continue to rise in terms of the investment? I guess, I’m looking at the automation would be the 21 [ph] warehouses and whether you just get a broad enough network that you can begin to bring that town at some point in the near-term? Thank you.
Haoyu Shen: This is also depending on the growth of the business and also how successful our warehousing services offered to the third-party merchants. So it’s actually a function of that. And from that perspective, if the CapEx continue to rise, it will be actually very good news.
Operator: Your next question comes from the line of Gene Munster from Piper Jaffray. Please go ahead.
Gene Munster: Good evening. And I’ll add my congratulations on the quarter. Question just in terms of if you could recap in terms of cohort analysis, a typical customer, once you get them, how does their spending change, I guess, six, 12, 24 months after you capture that customer? Thank you.
Sidney Huang: Yes. Gene, I don’t have those numbers in front of me. But as I said, I was looking today - I was looking at the 2008 cohorts and 2011 cohorts. We do see some over time every year. They place some orders with us. They buy more stuff from us, but the average order size goes down because they venture into more categories other than the traditional 3P categories, but I can't give you exact numbers now.
Haoyu Shen: But all our spending, annual spending is also increased. And also the 19x on average, it includes the blend of normal customers. So if you exclude those normal customers, the 2008 customers are still active today will actually buy on average more than 30x a year. So it is actually very good number.
Gene Munster: That was 30x from their original spend?
Haoyu Shen: Well, year one was 3.7x. So if it’s more than 3x. In terms of order frequency...
Gene Munster: Frequency okay. Got it. Okay, that’s helpful. Thank you.
Haoyu Shen: You’re welcome.
Operator: Your next question comes from the line of Sean Zhang from 86 Research. Please go ahead.
Sean Zhang: Thank you management. Congratulation on the strong quarter. My question is on the top line growth. I look at your mobile growth which grew 370% and 49% Q-on-Q. Can you give us some color on the growth of your own native app versus Weixin and Mobile QQ app? And secondly, also see acceleration of the other revenue, almost tripled this quarter and I just wonder, could you give us breakdown in terms of what the percentage of commission, what the percentage of advertising revenue and fulfillment. Last quarter I remember management said, I was hiding comments were roughly quarter of other revenue. Just wondering if your advertising business has taken off? So what’s the percentage now? Thank you.
Sidney Huang: So yes, as I mentioned earlier, we do not currently breakdown the volume between app and Weixin, but certainly a very large majority of the volumes still come from our own mobile app. But on the other hand, the two Tencent mobile channels are great contributors to new user acquisitions and also pretty good current purchases, as well on both those own channels and also some of them actually begin purchasing on JD’s app as well. And then for - what is the second one. Sorry, what’s the second question?
Sean Zhang: So the second question is, acceleration of your other revenue tripled this quarter. Just want to...
Sidney Huang: Right. So you can see the commission income will be more or less in line with the marketplace GMV growth and advertising still to be the second largest component in the service revenue. And also logistics service revenue is also fast growing, and is the third largest service category. So all three are actually making very meaningful contribution.
Sean Zhang: Thank you very much.
Sidney Huang: Sure.
Operator: We are now approaching the end of this conference call. I will now turn the call over to JD.com's Ruiyu Li for her closing remarks.
Ruiyu Li: Once again thank you for joining us today. Please feel free to contact us if you have any further questions. Thank you for your continuous support, and we look forward to speaking with you again.
Operator: Ladies and gentlemen, this concludes our today’s conference. Thank you all for participating. You may all disconnect.